Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:07 Good morning, everyone, and welcome to the National Bank Holdings Corporation Twenty Twenty One Third Quarter Earnings Call. My name is Nick, and I will be your conference operator for today. At this time, all participants lines are in a listen only mode. We will conduct a question-and-answer session following the prepared remarks. As a reminder, this conference is being recorded for replay purposes. 00:28 I would like to remind you that this conference will contain forward looking statements, including, but not limited to, statements regarding the company's strategy, loans, deposits, capital, net interest income, non-interest income, margins, allowance, taxes and non-interest expense. Actual results could differ materially from those discussed today. 00:50 These forward-looking statements are subject to risks uncertainties and other factors, which are disclosed in more detail in the company's most recent filings with the U. S. Securities and Exchange Commission. These statements speak only as of the date of this call, and National Bank Holdings Corporation undertakes no obligation to update or revise these statements. 01:08 In addition, the call today will reference certain non-GAAP measures, which National Bank Holdings Corporation believes provides useful information for investors. Reconciliations of these non-GAAP financial measures to the GAAP measures are provided in the news release posted on the Investor Relations section of www.nationalbankholdings.com. 01:29 It is now my pleasure to turn the call over and introduce National Bank Holdings Corporation's Chairman, President and CEO, Mr. Tim Laney.
Tim Laney: 01:36 Thank you, Nick. Good morning, and thanks for joining National Bank Holdings' Third Quarter Twenty Twenty One Earnings Call. I'm joined by our Chief Financial Officer, Aldis Birkans. Our focus on growing share in attractive markets is translating into strong top and bottom line results. I believe the quality of our new business pipeline will translate into attractive results through the fourth quarter and into twenty twenty two. I'm very proud of our bankers engagement with our small and medium sized business clients and prospects and I view this work as a differentiating driver of the momentum we're building in our business. We continue to be prudent in our underwriting of credit risk and we feel very good about the health of our loan portfolio. On that point, I'll turn the call over to Aldis to cover the quarter in more detail. Aldis?
Aldis Birkans: 02:31 All Right. Thank you, Tim and good morning, everyone. Thank you for joining our earnings call this quarter. We are pleased to report their third quarter earnings of nineteen point eight million dollars or zero point sixty four dollars per diluted share. This quarter was highlighted by record loan originations and exceptionally clean credit book and capital deployment through an investment and Finstro Global Holdings as well as stock repurchases. 02:56 During the quarter, we also thought will improve the company's balance sheet. Through the sale of the majority of our mortgage servicing rights. I will cover these items in more detail later, but first, let's address how long growth. Third quarters loan fundings were a record, four hundred thirteen point three million dollars as a result, we grew our core loan book during the quarter a solid sixteen point five percent annualized. The loan growth was broad based with all asset classes and geographies contributing to the long balance growth. Furthermore, we continue to be very pleased with our bankers business development efforts, which are generating strong pipeline across all of our markets. At this time, we project to exceed our original guidance for a long growth from the prior quarter and expect a near double digit annualized growth for the fourth quarter of twenty twenty one again. 03:49 With regards to the Paycheck Protection program loans, we had seventy six point eight million dollars outstanding as of September 30th of twenty twenty one. The remaining PPP loan deferred revenue balance is two point four million dollars and we expect most of this fee to be recognized in the fourth quarter as a forgiveness efforts because its continue. 04:08 Turning to deposits. This quarter, we continued the strong growth in deposits with average transaction deposits increasing five point two percent annualized. Our cost of total deposits decreased another three basis points this quarter to a low twenty one basis points. Strong deposit growth benefited our average earning asset base, which similarly grew sixty two point five million dollars and as we discussed during the last earnings call, we have started deploying cash into higher yielding loan balances. The resulting taxable equivalent net interest margin during the third quarter expanded eleven basis points to two point nine three percent and the excess liquidity still had a thirty six basis point dilutive impact on our margin. 04:52 This quarter is fully taxable equivalent net interest income was forty eight point nine million dollars and included two point six million dollars of PPP loan fees, stripping out the PPP loan fees, our linked quarter, core net interest income grew nineteen point eight percent annualized. Our asset quality remained strong with another quarter of solid reductions and non-performing loans and non-performing assets. NPA is decreased nine point six percent this quarter and our twenty seven percent lower than one year ago. Net charge offs for the quarter were just two basis points annualized. 05:26 These excellent credit trends combined with improving economic forecast projections from Moody's resulted in a reduced calculated reserve and was sufficient to support the new loan growth, and therefore required no provision expense this quarter. The resulting in ACL to total loans, excluding PPP was one point one three percent at quarter end. 05:47 Total third quarters non-interest income was twenty eight point five million dollars our client engagement fort both consumer spending and business account activity continued to expand. With total service charges to reflecting five point five percent growth this quarter over the third quarter of last year and bank card fee revenue increased twelve point two percent over last year's third quarter. 06:09 We also continue to execute on our banking center efficiency initiatives, which resulted in the sale of an additional banking center during the quarter. As a result, other non-interest income benefited from an eight hundred thousand dollars deposit premium gained this quarter. Additionally, this quarter, we sold approximately one point three billion dollars of our mortgage servicing portfolio. 06:31 With the high mortgage production volumes, this portfolio had more than tripled since the beginning the pandemic, and this was strategic move to reduce the mortgage servicing . As a result of this sale, we reduced our intangible assets by approximately eleven million dollars and realized a one point three million dollars gain. 06:51 The other key driver this quarter – for this quarter better mortgage revenue the margin recovery as compared to the second quarter of twenty twenty one. For the remainder of the year, we project our total non-interest income to be in the range of nineteen million dollars to twenty one million dollars. As always, large swings and long-term interest rates could impact both on mortgage production and this projection. 07:14 Turning to expenses. This quarter's non-interest expense totaled fifty-one point three million dollars and was elevated due to a couple of nonrecurring items. During the quarter, we incurred two point four million dollars and transaction related expenses for the Finstro investment as well as an eight hundred thousand dollars write down on one OREO property related to a prior bank acquisition. For the fourth quarter, we expect non-interest expense to return to the range of forty five percent to forty six point five million dollars consistent with our core run rate. 07:49 With regards to capital, this quarter we invested twenty million dollars in Finstro Global Holdings, as part of our previously announced strategic partnership. This investment resulted in NBH owning a thirty three percent noncontrolling interest in the company. Additionally, during the quarter, we have purchased nineteen point four million dollars of our stock. As a result of the stock buyback activity, the fully diluted share count for the fourth quarters – for the fourth quarter is projected to decrease to our thirty point eight million shares. 08:21 Our capital ratios continued to remain strong at ten point four three percent Tier 1 leverage ratio and fourteen point five seven percent common equity Tier 1 ratio. And finally, despite the start buyback activity, our tangible book value per share increased zero point one nine dollars this quarter to twenty four point two zero dollars. 08:38 Tim, with that I will turn back to you.
Tim Laney: 08:41 Thank you, all. I want to thank all of our teammates for their contribution to our strong third quarter on our last earnings call, I said I believe we were poised to deliver record levels of new relationship growth and loan production and our team delivered. As we look ahead, we feel very good about the high level of business activity in our markets and our company's potential for future growth. Now speaking of future growth, we believe we're on the verge of creating a comprehensive digital financial ecosystem capable of providing small and medium-sized businesses with unparalleled access to a full range of banking services and blockchain payment alternatives. We're building a digital marketplace of financial services within the bank regulatory framework that we believe can be a game changer for small and medium sized businesses across the country. 09:39 You can be certain that we'll be sharing more along the way. On that point, Nick, let's open up the line for questions.
Operator: 9:47 Thank you.  And our first question comes from Brett Rabatin with Hovde Group. Please go ahead.
Brett Rabatin: 10:14 Hey, good morning, everyone.
Tim Laney: 10:11 Hey good morning.
Aldis Birkans: 10:17 Good morning.
Brett Rabatin: 10:19 I want to first ask Tim on your last point about the ecosystem in the Fintech space. Can you maybe give us if possible any thoughts on revenue and how you see that playing out either in the near term or over a multiyear period and is it more creating and ecosystem to add new clients? Or do you expect this to be more of a banking as a service kind of platform that is driving specific fee revenues in particular?
Tim Laney: 10:52 Yes. I'll begin with the last question you touched on there to be clear, we are not looking at playing and the banking as a service arena. I mean, there could be one off elements where we're doing that on an experimental basis, but ultimately our view is that the banking as a service play will be commoditized and where on the other hand, very focused on the development of comprehensive relationships with small and medium sized business operators and to be even more clear. We believe across this country, there is opportunity to engage with minority groups to engage with a broad range of small business owners in particular in a way that we'll give them access to the business are the bank regulated system that they've not experienced to date. 11:53 So, I would tell you as we talk about this ecosystem we think about it not necessarily on a proprietary basis. We think about it again more as a marketplace where we'll be working with best-in-class partners to deliver through this ecosystem a full range of banking services. And so, if you really think about it the way we think about it, there are four legs to that business. The first is obviously digital lending capabilities and we tend to think about those lending capabilities and three arenas, addressing trade finance or working capital needs and that's a key role that that Finstro will play, and again, we're fortunate to been able to partner with Finstro who had a proven track record in Australian and they brought their company to the United States. 12:46 I suspect, we'll be working to deliver SBA related products to address commercial real estate owner occupied commercial real estate where small business owners, medium-sized business owners want to own and invest in their factories and their business places and then we'll be talking about the addition to digital equipment finance and other capabilities that basically start to check the box is around the primary needs of small and medium sized business owners. 13:23 The second leg relates to depository and treasury management services we think a real differentiator between non-bank players and doing this within the regulatory framework is obviously the ability to deliver these services on an FDIC insured basis, which we think is huge. The third leg is about delivering comprehensive information dashboards when we think about real problems to be solved, one for many business owners that don't have the benefit of having a CFO or a finance offices, that ability to understand where they are on a cash flow basis on a day-to-day basis, and we believe we're working with the right partners to deliver that kind of information in this ecosystem to these businesses and reduce anxiety in these business operators lives and really the fourth leg is about leveraging blockchain to reduce cost of payments while improving the quality of information related to those payments. 14:30 I'm not going to go much deeper that maybe even more than you expected, but put us all legs together and think about where this can take us on a literally coast-to-coast basis. I think it's premature to be talking about incremental earnings for the first quarter of twenty twenty two. Having said that, I believe there will be elements of this ecosystem that will begin to deliver incremental profitability next year.
Brett Rabatin: 15:03 That's very helpful, Tim. There was a lot of detail and it was so really interesting dynamic that you've got. I guess the other big question I wanted to ask was just around the loan growth dynamic versus the margin. And I'm just curious it would seem like if you can continue this growth, and deploy liquidity, use liquidity have to fund loan growth, the margin should keep going up. So honestly I was curious if it would to you like the margin can continue to have an upward tenure and then I just wanted to ask him on the loan growth side, is this a lot of new clients driving this growth? Or is this more existing clients drawing lines of credit?
Tim Laney: 15:57 Yes. Brett, I'll take the margin first. So you absolutely right as we deploy the cash into loans, that will only will be accretive to the margin. One item that is benefiting all banks these days. Outstanding, which is the PPP loan fees. So if you take that out, on linked quarter basis, we grew two point two million dollars almost the twenty percent annualized in terms of net-interest income and that is driving the margin expansion. But again, the PPP loan fees is a short, the benefits which we obviously take but we are not counting on so you need to adjust for that, in that calculation, but the core margin is absolutely expanding.
Aldis Birkans: 16:36 On the loan growth prospects look, I could not be more proud of our teams and they're engagement existing clients sand prospects. I tend to follow in that camp of people who believe that you may be able to maintain relationships over the telephone and zoom and other capabilities, but it's difficult to develop new relationships without being face to face. We've been back in our offices since July of last year, of course, our front sort of line banking center teammates never left their offices, But I think the fact that we have our business banking and commercial banking officers out in the marketplace engaging with business operators has been a real game changer for us. And again, I'll remind you that we were seeing the new perspective business in the pipeline as we move through the first half of this year, we're really watching the business and the balance sheets of those businesses through the first quarters they begin to deliver their annual balance sheets and income statements to ensure that we liked what we were seeing and that the businesses resumed operations accordingly, and we've had great success in winning new relationships and has also suggested in my earlier comments. We feel very good about the pipeline as we look to the fourth quarter and into twenty two.
Brett Rabatin: 18:19 Okay. That's very helpful. Thanks for all the color. Congrats on the results.
Aldis Birkans: 18:25 Thank you.
Operator: 18:24 Thank you. And our next question comes from Andrew Liesch with Piper Sandler. Please go ahead.
Andrew Liesch: 18:34 Hello.
Operator: 18:38 Andrew, your line is not live, perhaps muted it on your end.
Andrew Liesch: 18:41 Well, sorry about that. I apologized. I don't know what happened. Thank you for the detail on the fintech partnerships, very helpful. Just couple of questions here – one question here on the guidance on the non-interest income the mortgage banking premium increased, but if you expected the total non-interest income line to drop this quarter, that's just from more volume here in the slower months?
Tim Laney: 19:11 That's right. So, within that is a certainly seasonal slowdown to be expect this quarter to take place in the fourth quarter as it typically does in winter months. So that's embedded in that mortgage guidance. Also this quarter just to repeat the benefit from the eight hundred thousand dollars benefit from deposit premium on the sale of the banking center. So that obviously is not a competitive either, so if you're looking at the linked quarter basis, that's the guidance.
Andrew Liesch: 19:39 Right. Got it. Then on the loan yields is curious on new production where those were being added relative to I guess the car portfolio yield excluding the PPP loan?
Tim Laney: 19:55 Right. So if you look at  table and look at the first line, which is an originated loan FTE four point zero one percent that include – that includes the benefit of the PPP if you exclude that, our originated loans are yielding about three point eighty seven percent this last quarter, which is fairly flat to the prior quarter and our new loan originations came on at three point nine per percent. So at or slightly accretive to the originated book as it exists.
Andrew Liesch: 20:28 Got it. With a lot of the growth being  these variable rate loans
Tim Laney: 20:33 It's a lot of variable rate loss. I'd say it's about fifty fifty type of mix between variable to the fixed rate.
Andrew Liesch: 20:40 Gotcha. Excuse me, one more question related to the mortgage business and expenses if EV parse out how much of the salaries and benefits line was related to the uptick in mortgage banking revenue in the third quarter?
Tim Laney: 20:57 Yes. Well, I'm not going to give you exact answer, but I'll give you the guide poles that I typically talked to. So if you take the again until this quarter back out to one point three million dollars NSR sale benefit and then about thirty percent to thirty five percent of the remaining gain on sale is usually our commission and variable type of cost associated with mortgage.
Aldis Birkans: 21:18 Andrew I would add on that – to that last question. I think it's an important one is that I give our residential banking team leadership and all this and his team, a lot of credit for being very focused on bringing those variable expenses down as we see as we see revenue coming down in the Mortgage banking business and it's one thing to understand how commissions should naturally come down as closings go down. The real art is bringing those other variable expenses down and they've just done a remarkable job of managing those expenses accordingly and you should expect that to continue.
Andrew Liesch: 22:06 Okay. Got it. Very helpful. Thank you taking the questions. I'll step back here.
Aldis Birkans: 22:11 Okay.
Operator: 22:12 Thank you. And our next question comes from Kelly Motta with KBW. Please go ahead.
Kelly Motta: 22:18 Hi. Thanks for the question. And thanks Tim for adding the color on the fintech’s. There is a lot more in there than I thought there would. I'm definitely gonna have to go back to the transcript for us if I could read. But I wanted to ask a bit about deposits. You rolled off the time deposits and kind of that increase balance sheet leverage has helped support some  expansion, just wondering how we should be thinking about the trajectory of deposits and if there's more kind of higher cost types of accounts that are left to be rolled off or we should kind of expect and growth here in maybe next quarter? Any thoughts on that would be helpful?
Tim Laney: 23:09 Yes. We continue to be laser focused on adding relationships and operating accounts. So that's the primary driver for us as we manage internally strategically our deposit growth. Naturally, some of that were there are higher price time deposits that might be in one off that are rolling off that were both years ago coming off and we just not chasing that rate resulting in some of the time deposit book decreasing. But for us, it's really building the expanding the relationship base behind it. In terms of your question, where does that lead to the cost of funds and cost of deposits at the end of the quarter, twenty one basis points total deposit cost I believe bob you can get below twenty by end of the year as could this and we were next continues.
Kelly Motta: 24:01 Thank you. And then if I could in on capital. You're buying that stop this quarter. Just wondering on thoughts for continued opportunities opportunistic buybacks and we got color to just spending on capital on some of the fintech investments that you had alluded to in past quarters, just wondering any updated thoughts on capital deployment, given you still have quite a bit of flexibility where you are right now? Thanks.
Tim Laney: 24:34 Kelly, I think you hit on the right mindset there, which is we are first and foremost going to be opportunistic and we do think the flexibility we have enables us to really continued to look at our options. When we think about the investments in both Finstro Global Holdings and figure technologies. It was really about our belief that these two partners represented key pieces to this puzzle we're putting together to create the ecosystem and how we'll share with you that this business will be known as to unify and more to come on that, but so as I reference to unify, that is the ecosystem business we're building. You can expect on other partners that represent other key pieces of this puzzle to become a part of this where opportunities to invest will do so, because we believe in the upside of what we're doing here. We believe in the upside in these partnerships. 25:54 And so you will probably see us less focused on call, the investment and the smaller community bank and more focused on what we believe is the future. Having said that, will maintain optionality and should we actually discover the right opportunity in the coming months in the traditional bank space will do that. But we are in ongoing discussions with a lot of very smart people and partners that we think, could be key and taking to unify from coast-to-coast and creating again on unparalleled access for small and medium sized business. So again, I think you hit the nail on the head, we'll be opportunistic and we'll maintain optionality.
Kelly Motta: 26:49 Great. Thank you so much, Tim. Very helpful.
Operator: 26:55 Thank you. And our next question comes from Andrew Terrell with Stephens. Please go ahead.
Andrew Terrell: 27:01 Hey good morning.
Tim Laney: 27:02 Hey good morning.
Aldis Birkans: 27:03 Good morning.
Andrew Terrell: 27:04 Maybe back on the margin really quickly. It was good to see you leverage some of the liquidity this quarter. I guess with the cash positions so, I think around seven million dollars to eight hundred million dollars, I know the growth outlook feels like it's improved, but is it fair to think that you would still kind of build the securities portfolio from here or any kind of update to the strategy there?
Tim Laney: 27:28 Yes, in the investment securities portfolio we added around maybe one hundred million dollars on a linked quarter basis. I think is where, I'd like it to be unless some outlooks for long growth or something else changes for now, we'd like to preserve the optionality on the balance sheet as well and not lock into a long duration or other type of high risk asset and just keep the cash and deployed in the loans.
Andrew Terrell: 27:58 Yes. Understood. It looks like with the zero provision taken this quarter as well as just the strong balance sheet growth. You're fairly – you're back I guess fairly close to day one seasonal levels. I guess moving forward, should we expect the provision line to just more closely match charge offs and a reserve for new loan growth or do you think there's room for the allowance ratio to move further down from you?
Tim Laney: 28:25 As of today we are fully reserved as the current conditions so indicate and for the total bucks. So it hard to predict where you will depend on where the outlook goes and where the credit trends certainly we always will have to cover the new loan growth as well as if there is any deterioration in the credit book. But right now, I'm just not sure to predict where this may go from here because the Moody's projections are driving this quite a bit. And if you look at the some of those forecasts today, some of them are indicating getting back to near three percent unemployment rate and not too distant future and so that any little step back from there drive the model change.
Andrew Terrell: 29:17 Okay. That's good color. I appreciate all this. All right. Thanks for taking my questions. And Tim, appreciate the color on the ecosystem and the partnerships.
Tim Laney: 29:26 You bet. Have a good day.
Operator: 29:30 Thank you. And our next question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: 29:36 Thanks. Good morning, Tim and Aldis.
Tim Laney: 29:38 Hi, Jeff.
Aldis Birkans: 29:39 Hi, Jeff.
Jeff Rulis: 29:41 Yeah. Just really – just to follow-up on a few of those topics. The first being on the fintech relationships. I mean not to simplify, but if we're looking for kind of ROI on that investment, that's maybe the wrong way to look at it in the near term. It's kind of the staying relevant or being a leader in the business kind of cost of doing business and maybe those revenue synergies occur down the road and as we get into that partnership or investment. Is that what you had kind of largely expectations in the short run.
Tim Laney: 30:20 I think that's a reasonable summary. I think a bit companies like Amazon when they started and they didn't have the benefit of having a core engine like we have to continue to drive revenue and profitability and we certainly believe our core bank has a tremendous amount of upside and runway and will not be taking our eyes off it. On the other hand, I get just as excited about the prospects for to unify. As I did when we launched NBA some eleven years ago, and there were  we're saying it couldn't be done. I think the way we think about the technology is, we will strive with great discipline to avoid being drawn to the bright shiny objects and investing in technology just for the sake of playing in that space. This is really about looking at problems that exist for small and medium sized business operators in this country today and believing we can use the tools, many of them happened to be technology, but we can use tools to put together a business that can solve those problems coast-to-coast. And I think what's really also interesting about this as we think versus thinking about this business model and waiting for it to come together over a five-year period or something like that. The architecture is such that we believe that there can be incremental contribution earnings beginning as early as next year. And that doesn't mean that the entire business model will be up and running but there will be incremental elements of the model that will already be taking to market and benefiting from.
Jeff Rulis: 32:33 Okay. Appreciate it. Aldis, did I miss a margin guide or I may have in your prepared remarks, did you mention where you think core margin is headed?
Aldis Birkans: 32:46 No, I did not specifically on the percentage terms, but really to kind of come back it to driving impacts to the margin today that are one alluded one accretive right the net, did the PPP loan fees two point six million dollars this quarter as well as the excess cash and earning asset base, diluting the earning asset yield. So, if you back those out, the core margin is currently around three fifteen percent to three twenty type of percent margin and we will look to build on that.
Jeff Rulis: 33:22 Got it. Thanks. And then back to the loan growth and expectations sort of uptick in obviously in the third quarter and then as you're guiding for fourth quarter. I wanted to kind of ask that a different way, is it – you think that's a little bit of a  catch up to where you a strong second half, but then we enter twenty two and you're back to sort of more normalized or is that like this uptick is sustainable and you really feel good about maybe a high single digit sort of path in twenty two and I don't mean to front run kind of forecast there. But just, is this catch up in the second half? Or is it real emergence of growth that could carry into then in new year. Sorry, long winded?
Aldis Birkans: 34:13 No, no, it's an important question, and I would just ask you get back and read the transcripts at the year end at the end of first quarter at the end of second quarter. We did talk about the fact that we had our feet on the brakes certainly coming into twenty one and waiting until the end of the first quarter and until we receive the financial information from these prospects and clients, we started to lean in in the second quarter. We've seen the benefit from a hyper focus on market development on business development in each of our respective markets, and I believe that hyper focus and engagement as I said in my prepared remarks, will carry us strongly into twenty twenty two. We are very energized around what we're seeing in our markets. And again, we're fortunate to be operating in some of the better markets in the United States, but making a mistake. I couldn't appreciate our bankers more for their level of engagement and it's making a difference.
Jeff Rulis: 35:23 Thanks. I have one more. I'm sorry, the mortgage line. Just a quick one, just for twenty two, is it safe to assume sort of NBA forecast for twenty two versus twenty one, would you expect to largely new that?
Aldis Birkans: 35:43 I think the answer is yes, that's our starting point now. You have to come back and look at the again back to Tim's comment that we are operating in markets that are growing faster and certainly Colorado, Utah or excess markets have demographically greater population inflow than some other parts of the country. So we are benefiting from that one. And secondly, the other component to be us, our volumes these days are back to sixty, called sixty five percent purchase market, so which is our driving core behind that mortgage business as well. So the NBA outlooks on that is important to incorporate as well.
Jeff Rulis: 36:23 Okay. Thank you Birk.
Aldis Birkans: 36:25 Thank you.
Operator: 36:29 Thank you. And I'm showing we have no further questions at this time. I will now turn the call back to Mr. Laney for his closing remarks.
Tim Laney: 36:35 All right. Thank you, Nick. And I want to thank everyone who attended this morning for your time and attention, particularly think those who are investors in National Bank Holdings, we continue to be focused on creating strong total shareholder returns and our commitment is to do everything that's prudent to continue a track record of delivering solid results. Thanks and have a good day.
Operator: 37:02 And this concludes today's conference call. If you would like to listen to the telephone replay of this call, it will be available beginning in approximately four hours it will run through October twenty five twenty twenty one by dialing eight eighty eight two zero three one eleven two and referencing passcode seven five seven seventy seven seventy four. The earnings release and online replay of this call will also be available on the company's website on the Investor Relations page. Thank you very much, and have a great day. You may now disconnect.